Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the T-Mobile US Fourth Quarter and Full Year 2013 Conference Call. [Operator Instructions] This conference call is being recorded today, February 25, 2014. I'd now like to turn the conference over to Mr. Nils Paellmann, Head of Investor Relations for T-Mobile US. Please go ahead, sir.
Nils Paellmann: Thank you very much. Welcome to T-Mobile's Fourth Quarter and Full Year 2013 Earnings Call. With me today are John Legere, our President and CEO; and Braxton Carter, our CFO. Let me just read the disclaimer. During the course of this earnings call, the company will make projections and other forward-looking statements that are subject to many risks and uncertainties that could cause actual results to differ materially from expectations. A detailed discussion of the risks and uncertainties that affect the company's business and qualify the forward-looking statements made in this call is contained at T-Mobile's SEC filings, particularly the risk factors included in our annual report on Form 10-K filed with the SEC this morning, February 25, 2014. Copies of T-Mobile's SEC filings are available online from the SEC or at the Investor Relations homepage on the T-Mobile website. The company's projections and forward-looking statements are based on factors that are subject to change and therefore, these statements speak only as of the date they are given. The company does not undertake any duty to update any projections or forward-looking statements. In addition, during today's discussion, management will comment on both actual results and certain non-GAAP results. Reconciliations between GAAP results and these non-GAAP results are available in the investor -- quarterly on the Investor Relations homepage on our website at t-mobile.com. So without further ado, let me turn it over to John.
John J. Legere: Okay. Good morning. Thank you for joining us today. What a year it's been. We've been extremely busy, so I'd like to jump right into some of the key results that are going to be covered on today's call. T-Mobile is now the fastest-growing wireless company. Just look at the numbers. We added more than 4.4 million customers in total in 2013, now that's versus losing 256,000 customers in 2012. That's a swing of 4.7 million customers in 1 year. In the fourth quarter alone, we added more than 1.6 million total customers. By the way, that's our third consecutive quarter with more than 1 million net customer additions. We had more than 2 million branded postpaid net customer additions in 2013, and that's versus losing more than 2 million the year before. In the fourth quarter, we added 869,000 branded postpaid net. That was our best quarterly performance since the fourth quarter of 2005, which by the way, was when industry penetration was only 70%. We delivered our significant customer growth in a fiscally responsible way. That's growth and profitability, not either/or. We hit our adjusted EBITDA targets while exceeding our branded postpaid net adds guidance, and we showed that we have strong cost discipline across the entire business, taking out $1.7 billion in run rate costs in 2013. Most of these savings we've reinvested in our business. Our strong operating improvement resulted in improved retention customer quality. In other words, better customers are coming to T-Mobile and they're staying longer. Branded postpaid churn in 2013 was 1.7%, down 70 basis points year-over-year. In the fourth quarter, it was also 1.7%, down 80 basis points. Customer quality metrics continued to improve. Service bad debt expense is down and the percentage of Prime customers in our EIP receivables [indiscernible]. Finally, while 2013 was great for us, we expect that the pace of growth will continue even further in 2014, with strong evidence of that already seen in Q1. We expect adjusted EBITDA to be between $5.7 billion and $6 billion in 2014. That's up 7% to 13%. We are also guiding branded postpaid net adds to be 2 million to 3 million in 2014. In other words, the momentum continues as the Un-carrier continues to shake up the industry. With regard to the first quarter, Un-carrier 4.0 offering has already received a tremendous market response. Now 2013 was a transformational year for us as we turned a declining business into a growth one. How did we do it? By listening to customers and then offering them what they told us they really want: A great service on a nationwide, lightning-fast 4G LTE network; devices when and how they want them; and plans that are simple, affordable and without the restrictions the other guys placed on. We changed the way this industry operates and customers responded. Now let me remind you of the major steps we've taken so far. On March 26, we launched Un-carrier 1.0, our radically-simplified unlimited Simple Choice service plan with no annual service contract. On April 12, we launched the iPhone and achieved device parity. On April 30, we closed the MetroPCS deal, which expanded our spectrum holdings in key markets. And on May 1, we listed TMUS on the New York Stock Exchange. On July 10, we launched JUMP! and prepaid Simple Choice for families. We closed the year with more than 3.6 million JUMP! customers. On October 9, we launched Un-carrier 3.0 Part 1, Simple Global, making the world your network in 100-plus countries at no extra charge. And at the same time, we announced that our LTE network was now nationwide, covering more than 200 million people. On October 23, we launched Un-carrier 3.0 Part 2, tablets Un-leashed. And on January 6, we announced a 700-megahertz A-Block option transaction with Verizon, providing us with key strategic low-band spectrum in areas covering 158 million people, including our own Boston line. Finally, on January 8, we announced Un-carrier 4.0, contract freedom and also announced that we now have the fastest 4G LTE network based on download speeds from millions of user-generated tests. And we're not done yet, stay tuned for more Un-carrier steps in the future. Now let me turn to the results of the fourth quarter starting with customers. We added 869,000 branded postpaid customers, our best result since the fourth quarter of 2005. This consisted of 800,000 postpaid phone net adds, very close to industry best, as well as 69,000 mobile broadband postpaid net adds, primarily tablet. The latter was up from just 5,000 in Q3 and demonstrates the success of our Un-carrier 3.0 Part 2, tablets Un-leashed offering. Gross adds were up 80% year-over-year and 15% quarter-over-quarter, and postpaid churn was 1.7% in Q4, which is down 80 basis points year-over-year and flat sequentially. This quarterly churn improvement was the largest year-over-year reduction in 2013, demonstrating the continued improving quality of our customer base. This improving customer quality is also demonstrated by the reduction in service bad debt expenses, down 51% in 2013 versus 2012, and the continuing improvement in the quality of our EIP receivables. At the end of 2013, 54% of the EIP receivables were classified as Prime, up 11 percentage points from 43% at the end of 2012. Most recently, our Un-carrier 4.0 launch has seen very strong uptake amongst the highest credit quality customers. I will share a data point with you: Approximately 2/3 of the customers who have taken the ETF offer so far are in Prime credit class. As expected, branded prepaid growth accelerated in the fourth quarter, with 112,000 branded prepaid net, up nearly 90,000 from the third quarter. Gross adds improved 5% compared to the third quarter, driven primarily by the MetroPCS brand expansion. As in the 2 preceding quarters, branded prepaid growth was impacted by ongoing prepaid to postpaid migrations, which amounted to approximately 120,000 in the fourth quarter. Now, let me turn to total customer growth, including wholesale. Total branded net, including postpaid and prepaid, were nearly 1 million in Q4, demonstrating the success of our Un-carrier strategy. We also had a very strong performance in wholesale in the fourth quarter, with a total of 664,000 net adds. MVNO net adds of 492,000 were up 79% year-over-year and 43% Q-over-Q, while M2M net adds of 172,000 were up 27% year-over-year, up from just 7,000 in Q3. Combining all of this, we've generated over 1.6 million total net adds in Q4 and 4.4 million total net adds in 2013. Now I know I've said this before, but I just wanted to say it one more time, this was our third consecutive quarter with over 1 million total net adds. Now all of this customer growth and low churn would not have been possible without the foundation of a very solid network. That's where the success starts. Let me give you a few highlights from 2013 and our plans for 2014. We've rapidly expanded our 4G LTE network in 2013. We went from, literally, 0 to 209 million people covered in just over 3 quarters. We now how 4G LTE in 95 of the top 100 metro areas in the U.S. In 2014, we plan to further expand our population coverage, getting up to a footprint in excess of 250 million people by the end of 2014. This also includes the rollout of 4G LTE on the 1900 spectrum. As I told you at CES, we now have the fastest 4G LTE network in the U.S. based on download speeds from millions of user-generated test results. 10+10 4G LTE has now been rolled out in 43 of the top 50 metro areas. We're already live with 20+20 4G LTE in North Dallas and plan to continue the rollout in 2014. As a reminder, with 20+20 4G LTE, Dallas customers can get theoretical peak download speeds of up to 150 Mbps and average download speeds in the 20s and 30s. In early January, we announced our strategic 700 A-Block transaction with Verizon. This transaction will provide us with the essential low-band spectrum covering 158 million customers, including our existing Boston holds. Upon deal closing, we will have low-band spectrum in 9 of the top 10 metro areas and 21 of the top 30, covering 70% of our customer base. We plan to commence deployment of this spectrum this year after closing. Now, let me provide you with an update of the MetroPCS integration, which continues to hit milestones ahead of plan. In terms of spectrum, more than 25% of MetroPCS spectrum on a megahertz POP basis has already been re-farmed and integrated into the T-Mobile network at the end of 2013. This was enabled by the rapid migration of the MetroPCS customer base to T-Mobile-compatible handsets. Currently, 3.5 million MetroPCS customers are on the T-Mobile network, close to 40% of the total MetroPCS customer base. In terms of market expansion, we continued to ramp distribution in the 30 markets where we expanded the MetroPCS brand, reaching over 1,700 new distribution points at the end of 2013. And we talked in the third quarter call about synergies and integration expense in 2013. Let me give you an update of where we stand at the end of 2013. On CapEx, our original plan for 2013 was for synergies to total $70 million to $135 million. That's the original year 1 target multiplied times 2/3. We did a lot better than that -- that plan, with CapEx synergies of approximately $675 million realized in 2013. That's more than $500 million better than the original plan. On OpEx, our original plan for 2013 was for synergies to be between negative $30 million and positive $30 million. In reality, OpEx synergies came in at approximately $105 million. Again, better than planned. On one-time integration costs, both OpEx and CapEx, our original plan for 2013 was for costs to be between $500 million and $640 million. Integration costs for 2013 ended up totaling approximately $450 million, again, better than the original plan. I also wanted to let you know that we will be accelerating shutdown of the MetroPCS network in several markets in 2014. That's 1 year earlier than expected. We'll be shutting down Philadelphia, Las Vegas and Boston, with the potential for early shutdown in several additional markets, always ensuring a seamless transition for MetroPCS customers. That will yield significant cost savings in the future, but also pull forward one-time integration expenses into 2014 and 2015. Going forward, we will continue to give you updates on the MetroPCS integration as we continue to decommission the MetroPCS network and realize the associated adjusted EBITDA benefits. It's been an incredibly good year for the T-Mobile business. Now I'd like to turn things over to our CFO, Braxton Carter, for a review of the quarterly financials and guidance, and then we'll answer your questions. Braxton?
J. Braxton Carter: Yes, thank you, John, and good morning. I'm very excited to be here talking about our quarterly financials and outlook for 2014. Let me start by discussing our revenues and EBITDA in the quarter. All figures for 2013 are presented on a pro forma combined basis to allow for an apples-to-apples comparison. In the fourth quarter, total revenue amounted to $6.8 billion, growing at more than 10% year-over-year and 2.1% quarter-over-quarter. This was driven primarily by strong growth in equipment sales revenue due to record smartphone sales and tremendous success of our equipment financing program. In the fourth quarter, we financed $1.2 billion of equipment sales revenue on our Equipment Installment Plans, or EIPs, compares to $1 billion in the third quarter and just $375 million in the fourth quarter of 2012. Total revenue growth was also supported by the continuing growth in service revenues, which have now grown on a sequential basis in 3 consecutive quarters. Growth was due to a significant increase in customers, more than offset the impact of the continued adoption of Simple Choice Value Plans, generate lower service revenues compared to traditional bundled rate plans. We're able to generate over $5.3 billion of adjusted EBITDA in 2013, fully in line with our guidance, coupled with significant outperformance on customer growth. Fourth quarter EBITDA declined 7.8% quarter-over-quarter as expected due to higher promotional expenses, principally associated with fourth quarter selling season and higher gross additions. Given our tremendous growth, our profitability was quite impressive, especially when you consider that we had record smartphone sales of 6.2 million and branded postpaid upgrade rate of 9%, unchanged from the third quarter, but up from 6% in the fourth quarter of 2012. Turning to ARPU. Branded postpaid ARPU declined at a similar rate to Q3, down 2.9% quarter-over-quarter. This reflects the ongoing adoption of Simple Choice plans, which puts pressure on service revenues while boosting equipment sales revenue. At the end of 2013, 69% of our branded postpaid base was on Simple Choice or Value Plans, up from 61% at the end of Q3. We continue to expect that ARPU will stabilize in the second half of 2014 once we are done with most of the migration to Simple Choice. Let me introduce you to another way of looking at our postpaid ARPU: branded postpaid average billings per user. This is just branded postpaid service revenues plus EIP billing, which we report in our investor quarterly, divided by average branded postpaid customers. It approximates what we actually get on a cash basis from our customers on a monthly basis. Looking at it this way, branded postpaid average billings per user, $58.78 in the fourth quarter, grew by 1.4% year-over-year, and was down just 0.5% sequentially. All quarter-over-quarter decrease was primarily related to weighting of gross additions towards the back end of the fourth quarter. The 1.4% year-over-year increase in Q4 represents a slight acceleration over the Q3 growth of 0.9% year-over-year. And as already highlighted by John, but I want to reiterate again because it is so important, customer quality continues to improve. You can really see the step by looking at full year 2013 versus 2012. Service bad debt expenses were down 51% year-over-year, and service bad debt expense as a percentage of service revenues were 1.5%, down 136 basis points year-over-year. Lastly, branded prepaid ARPU grew slightly, both year-over-year and quarter-over-quarter. This reflects the growth in monthly prepaid service plans that includes data service. Turning to cash CapEx and cash flow. We spent a total of $4.2 billion in cash CapEx in 2013, supporting the ongoing investment in network modernization. As you can see, we weighted our CapEx spend toward the first half of the year to maximize the customer benefit, and will do the same in 2014. 4Q '13, we spent $882 million cash CapEx. The sequential decline in the fourth quarter is due primarily to the timing of network payments and does not reflect a material slowdown of our network modernization. To the contrary, we continue to push full steam ahead with our network modernization with our 4G LTE network, now the fastest in the nation, covering 209 million people in 273 metro areas at the end of 2013. While supporting the necessary network modernization, we also remain focused on free cash flow generation. In 2013, we generated simple free cash flow, that is adjusted EBITDA minus cash CapEx, of more than $1 billion, including $357 million in the fourth quarter alone. In terms of working capital, total EIP receivables, net of allowances for credit loss increased by $0.6 billion from Q3, reaching a total of $2.5 billion in Q4. Our cash position is strong, following the very successful debt and equity raises in Q4, we had an ending cash position of approximately $5.9 billion. Pro forma for the acquisition of the 700-megahertz A-Block spectrum from Verizon, our cash balance was reduced to $3.5 million [ph], still leaving us with significant financial flexibility. Net debt excluding towers amounts to $14.3 billion at the end of 2013, or 2.7x our pro forma combined adjusted EBITDA in 2013, below our target range of 3x to 4x. Pro forma for the spectrum deal, our net leverage will be 3.1x. Before turning to our 2014 guidance, let's briefly review how we executed against our 2013 guidance target. Adjusted EBITDA amounted to $5.3 billion on a pro forma combined basis. This was right in the middle of our guidance range of $5.2 billion to $5.4 billion. Cash CapEx was $4.2 billion, within our guidance range of $4.2 billion to $4.4 billion. In terms of branded postpaid net additions, we achieved over 2 million compared to the guidance range of 1.6 million to 1.8 million. Strong growth makes our adjusted EBITDA results even more impressive. Finally, we ended the year with a penetration of Simple Choice and Value Plans of 69%, close to the middle of our guidance range of 65% to 75%. Let me now turn to guidance for 2014. Adjusted EBITDA is expected to be between $5.7 billion and $6 billion. This implies a growth rate of between 7% at the low end and 13% at the high end. Cash CapEx is expected to be $4.3 billion and $4.6 billion, an increase of up to 9% versus 2013. This increase reflects further expansion of our 4G LTE coverage to a footprint in excess of 250 million by the end of 2014 and the commencement of A-Block rollout. Given our Un-carrier initiatives, we expect the momentum in postpaid customer growth to continue, and currently expect between 2 million and 3 million branded postpaid net additions in 2014. The transition to Simple Choice plan should be mostly concluded by the end of this year, with the penetration of Simple Choice and Value Plan reaching 85% to 90% of the branded postpaid base by the end of 2014. As to the first quarter of 2014, while not giving quarterly guidance, I want to point out that we expected and are experiencing very significant uptake on our Un-carrier 4.0 offering, putting incremental EBITDA pressure on Q1. We expect Q1 to be our highest volume of Un-carrier 4.0. As you can see with our overall 2014 guidance, we expect to deliver very strong 2014 customer growth, while growing EBITDA and cash flow. Lastly, consistent with the industry practice, this release will conclude our practice of disclosing the non-GAAP metric, CPGA and CPU. Let me now turn it back to John for a recap of 2013 highlights.
John J. Legere: Okay. Thank you, Braxton. I can't tell you how grateful I am for the success we've seen and the hard work of all of T-Mobile's employees. Let me briefly just recap a few of the most important aspects of this year's performance. In 2013, T-Mobile became the fastest-growing wireless company, with more than 4.4 million customer net additions. We delivered our significant customer growth while continuing to hit our financial targets, growth and profitability. We will continue to take cost out of the business as needed. Our operational improvements have resulted in significant positive changes in customer retention and the overall quality of our customer base, and we expect that the pace of growth will continue even further in 2014, with strong evidence of that already seen in Q1. Now 2013 was a very strong year and we have more work to do in 2014 to sustain that momentum and continue growing the business. Now I think we're ready for the Q&A, Alex. First question, please.
Operator: We'll take that from John Hodulik with UBS.
John C. Hodulik - UBS Investment Bank, Research Division: Maybe just a follow-up to Braxton's comments on the first quarter sub trends. So I guess, Braxton, I don't want to put words in your mouth, but I mean, are you saying that despite the sort of weak seasonality we see in the first quarter, that you could see a meaningful uptick in the postpaid net add numbers on a sequential basis? And maybe if you could follow up to that, give us some color on where those subscribers are coming from. And then lastly, on the ARPU, I guess you're continuing to say that you expect ARPU declines to level out in the second half, but do you have enough visibility to suggest that this 8.6% decline that we saw here in the fourth quarter in terms of postpaid ARPU is the worst it's going to get and it's going to improve from here?
J. Braxton Carter: Yes, sure thing. So first of all, yes, I think we were very clear that we expected and are experiencing significant growth related to our Un-carrier 4.0 initiative. And I think it's important to understand that there will, certainly, like any offering of this type, be a natural decline curve. And we expect Q1 to be the absolute highest amount of attraction into our value proposition through the paying off of ETFs. I think it's worth talking a minute about the impact of ETFs. At this point, we're looking at, as a percentage of gross adds, somewhere between 20% to 25%. And we also, as mentioned in prior public announcements, expect that the average ETF will be about or less than $200. If you do the math on this, and especially when you consider that there will be incremental lift associated with this offer, it is fairly economical to go out and target the types of customers that we're bringing in. And I really want to emphasize something that John said, and that's the types of customers that we're bringing in. What we've seen with Un-carrier 4.0 is unprecedented numbers of the best-quality Prime customers coming into our value prop. John mentioned that significant uptick, so a little bit on Q1. On ARPU, what you got to remember is that we've been doing a massive migration of our base and new gross additions coming into our Simple Choice plans, which typically have a lower ARPU and service revenues than the traditional bundled service rate plans. As a natural progression, we were 69% through this migration at the end of 2013, so the worst of it is behind us. And that does give us visibility that we will stabilize ARPU in the second half of this year. And I think it's also important that you look at the average billings per user because that, on an apples-to-apples basis, shows that we have actually a slight increase in the total cash consideration coming from all of our subscribers.
Operator: And next, we'll go to Kevin Smithen with Macquarie.
Kevin Smithen - Macquarie Research: Can you elaborate a little bit on your discussions with the board on CapEx and capital for the 700 megahertz? Did you get what you wanted, or would you have spent more given all your impressive sub growth guidance? Or is this enough CapEx to meet the demands of the new subscribers coming on your network?
J. Braxton Carter: Kevin, it's a great question. And let me tell you that we are prepared to invest, as necessary, in supporting the quality of our network and supporting the significant growth in customers that we have [indiscernible]. And that's a fundamental premise and foundation as to the way we're operating the business. There is always a balance between the amount of capital intensity, and you got to remember, on an apples-to-apples basis, we are significantly accelerating what the prior views premerger were that we would spend on capital. We have a fairly simplified spectrum band holdings compared to other U.S. wireless carriers. 2 primary bands with a 700 megahertz being a third. We don't have a lot of legacy technology to support from a network expansion. Our total footprint's 285 million, concentrated in the more dense parts of the U.S., which makes for a more efficient capital build. And I think importantly, we're making a significant investment with 700 megahertz of spectrum. We will begin seeding 700-megahertz handsets into our customer base at the end of the year, and we want to get ahead of this 700-megahertz build to be able to take advantage of this, I think, very differentiating asset that we've not had at our disposal in the past. So yes, we're very comfortable with the trade-off between the amount of capital investment, while still generating increasing cash flow through the business.
Kevin Smithen - Macquarie Research: So that will probably fall in '15?
Operator: All right. Next, we'll go to with Brett Feldman with Deutsche Bank.
Brett Feldman - Deutsche Bank AG, Research Division: Just a point of clarification. Earlier when you were answering John's question, are you saying that you think the first quarter of the year will be your best quarter in terms of postpaid net adds? Or you're simply saying you think it's going to be the quarter to have the biggest impact from the ETF buyout? And then I've got a follow-up question after that.
J. Braxton Carter: Yes, Brett, it's really the latter. We're going to have other moves that we make during the year. We've demonstrated a lot of innovation. We're just really commenting about the impact of Un-carrier 4.0.
Brett Feldman - Deutsche Bank AG, Research Division: Okay. And then -- and just a little more color on the net add guidance. You did a great job in '13 in terms of bringing the churn rate down. What kind of churn assumptions are factored into your net add guidance for this year? And then also last year, you kept setting what we all thought were pretty low bars for your net adds, and you said, "Well, we're expecting a competitive response," and then you never got one. But now, we have seen competitive response. So can you update us in terms of what your view on the competitive environment is like and how that's factored into your guidance as well?
John J. Legere: Yes. Let me start and then I'll ask Mike to join in since he got up so early today. See, remember, we were -- are less than 1 year into the Un-carrier initiative. And if you remember, at the start of this game, we were looking for 2013 from a postpaid net add standpoint to actually be negative, although sequential as we exited. We then changed that view to 1 million to 1.2 million positive. We then changed it to 1.6 million to 1.8 million, and we did 2. So the guidance that we've given of 2 million to 3 million, we think is clearly a statement that we believe we can continue to grow. And you're right, it is a highly competitive environment, players are responding. I would say we haven't seen much impact to us on the Q4 price changes that AT&T made nor based on their program targeting our users. And then in Q1, we've seen both Verizon and AT&T respond. But mostly with what I would say are changes that are a bit more targeted towards each other and specific sets of users and a bit more of a base protection. However, we do -- we have a great deal of respect for the competitive environment. We expect it to continue in a healthy way and I think that's baked into our assessment of the growth throughout the year. You want to talk about churn, Mike?
G. Michael Sievert: Yes, I don't have a lot to add to that other than the fact that, as you said, we've driven churn to a low level; it was 1.7% in the fourth quarter. And we certainly expect to perform, give or take, in that range, and the guidance assumes that. There's seasonal variability as you move through the year, as you saw in 2013. And just to amplify John's point, we're in a very competitive market. We have been for a while. It has intensified in the fourth quarter and in the first quarter. And that's something that we fully expected. We get questions a lot. "Hey, when -- how are you guys going to be able to perform when the competitors really come out to compete?" And our view is, they're competing. They're competing very vigorously. It's a highly competitive market. We're certainly seeing all of that out in the marketplace right now, and yet, we continue to grow.
Operator: Moving on, we'll go to Amir Rozwadowski with Barclays.
Amir Rozwadowski - Barclays Capital, Research Division: Just following up on the prior questions about sort of the trajectory for pricing and the conversion of your base to the value-oriented plans. In thinking about the contribution for the ETFs and the success that you've had, clearly, you're seeing some margin pressure in the first quarter. How should we think about how that pans out sort of through the course of the year? As you stand today, do you feel very comfortable in sort of getting to sort of recovery margin trajectory in the back half of the year?
J. Braxton Carter: Good question. Margins are also a function of the amount of growth. And you can see from our guidance that we certainly are looking at growth in the branded postpaid part of the business in excess of what we experienced during 2013. So when you normalize for that, absolutely, there is some incremental margin pressure that we talked about relating to Q1 and ETFs which will -- we expect to be highest quarter of Un-carrier 4.0, which does imply sequential improvement if you normalize growth for the balance [indiscernible].
Amir Rozwadowski - Barclays Capital, Research Division: Great. That's very helpful. And if I may, 1 brief follow-up. John, you had mentioned you expect the competitive environment to remain healthy. Generally, we've seen some concerns about pricing wars in the marketplace and some of these announcements have been interpreted as such by some of your competitors. I was wondering where you think sort of pricing is going, sort of from an industry perspective here? I mean, are we in the midst of a pricing war, or is this just normal, healthy competition?
John J. Legere: No, I think it's normal, healthy competition, quite a bit of it. I don't think any of the players in the industry have ever used the term pricing war. In fact, I think even in the past 24 hours, I think Verizon has spoken about their price adjustment as being even less frequent than they had anticipated that they'd be. So and certainly, I think all of the players are trying to protect their base, find their way amongst some of the new -- remember the changes in the industry have been as much about structure of how we're serving customers as it has been about price and flexibility. So no, I don't feel it is a price war, I don't believe it will become a price war. I think it's good, healthy competition and choice for customers, and I think it will continue.
Operator: All right. Next, we'll go to Craig Moffett with MoffettNathanson.
Craig Moffett - MoffettNathanson LLC: Two questions, if I could. Braxton, I wanted to go back to your comments about ARPU for a second, just to make sure I understand. So it sounds like the dilution from Simple Choice is just about over. Are the -- is the marginal ARPU of customers that you're getting from the ETF buyouts higher or lower than your current average ARPU just given the mix of family plans? And so, would we expect to see higher or lower ARPU, I guess, as a trend? And then second, with the prior Un-carrier and the international roaming offer that you've had, can you talk about what impact that has had on your mix in the small-medium business segment? Are you starting to see some uptake among small-medium business accounts, or is it really coming from the bring your own device segment of the small-medium business market?
J. Braxton Carter: Yes, sure. I'll take the first question. Yes, absolutely. We're through the majority of the migration of Simple Choice. It ended the year at 69%, and we're giving guidance to 85% to 90% by the end of the year, which is a great thing. We have a lot of that migration behind us, thus, choosing types of customers that we're bringing in with Un-carrier 4.0. Again, remember, the huge skewing and the increase of Prime customers being attracted to the value proposition is also translating into higher ARPUs for those customers that are coming in. So we're very pleased with what we're seeing at that part of the equation. As to the second question, Drew, you want to?
Alexander Andrew Kelton: Yes, sure. Craig, Drew Kelton, Business Markets. Yes, we're seeing across the board in the business community a strong uptake of Simple Choice international, Simple Choice global, we don't break it out, but I'll give you some color. Our Q4 adds were up year-on-year 53% in the Business Markets segments. Now remember, we only launched Simple Choice global in the month of October, so only really got 2 months of the quarter to take that uptake. So we want to see that continue in 2014.
Operator: Okay. Moving on, we'll go back to Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley, Research Division: Braxton, you talked about accelerating the shutdown of Philly, Vegas and Boston. Where are we on the remaining PCS markets? Is that something that we can pull forward? Give us a sense of your latest thoughts on that and the synergies related to that. And then tablets started to appear, it was 9% or so of adds in Q4. How is that going to trend in 2014? Are we going to see that more like a 20% number? It looks like there's an opportunity to do more in that space.
J. Braxton Carter: Yes. Sure thing, Simon. Yes, we're -- from the start, we said that we were very conservative on our guidance relating to the synergies and cost to achieve relating to the integration of MetroPCS. And you saw with some of our remarks here that we're executing very well, both on a CapEx and OpEx synergy and with lower cost to achieve. We also talked about how we were extremely conservative in looking at the migration of that base. We're making great progress towards that. And announcing the shutdown of 3 of the legacy Metro systems by the end of this year is a very significant pull forward. We do believe that there's significant opportunity to pull forward other markets, and it's something that we're very focused on. Because remember, there is a pot of gold at the end of this migration of the Metro customer base, and that's over $1 billion pop in run rate synergies and was a huge part of the rationale for combining the 2 companies. So, yes.
G. Michael Sievert: As for tablets -- this is Mike, we do see a lot of growth potential in 2014. It'll grow as a percentage of the base, but it will have a certain curve to it. And we don't expect a sudden lurch up in totals. What you see going on with our competitors with their 100 million unit customer bases is they're selling tablets into their bases, and that's why they're able to produce those kinds of numbers. What we're doing, I think, is more important and more valuable, which is we're bringing new families to our franchise, and they start with phones. But there's certainly an opportunity over time as, especially as notoriety around our tablet offer grows. One thing to point out is that we don't count any adds that come in on tablets that are only taking our tablets Un-leashed free data for life offer. Only paying customers are in our tablet numbers. And so obviously, we have more people out there using tablets than our -- what are in the reported numbers.
Simon Flannery - Morgan Stanley, Research Division: Great. And is there any decent conversion on some of those? Are you starting to see that picking up?
G. Michael Sievert: Absolutely. It's turned out to be, I think, a very good move for us. Obviously, it was launched during the period in the fourth quarter. But people come in. The vast majority of people come in, they use it as a way to check out the network. We expect not only to get conversion to tablets, but also to get conversion to phones because this is a great low-risk way for somebody to come out and test our network and realize that it meets all their needs.
Operator: And for our next question, we'll move on to Mike McCormack with Jefferies.
Michael McCormack - Jefferies LLC, Research Division: Braxton, can you just sort of frame the impact of the PCS integration costs being moved forward a little bit on the guide for the full year? And then maybe thinking longer term, where do you think margins can go in this business? Obviously, we've got the ETF Un-carrier 4.0 hit, ARPU should get better, the PCS cost should come out. I'm just trying to get a sense of where margins go longer term. And then maybe just a quick comment on you've got roughly 50% Prime in the EIP base, what's the haircut delta on the receivable you take between a Prime and a sub-Prime customer?
J. Braxton Carter: Yes, sure. First of all, the acceleration of 3 markets to fully migrate to the MetroPCS space over to our T-Mobile network is going to occur at the very end of 2014. So there is really not a significant benefit to 2014, but it's exciting when you look at the benefits of 2015. I think that's really the best way to look at and frame that issue. As to margins, we stand behind the margin guidance that we put forward at the formation of TMUS, and that's developing our EBITDA margins to 34% to 36% in a 5-year basis. The great thing is we've returned to a significant growth company, and as you can see from our guidance, we believe that, that growth is accelerating into 2014, which sets up for a lot of future profits coming from this growth, so definitely stand behind the original guidance that we put there. The final question was -- your third one?
John J. Legere: The haircut on the...
Michael McCormack - Jefferies LLC, Research Division: Just on the EIP base between Prime and sub-Prime, what's the haircut you take on the actual receivable that the customers signs versus what you're posting on the balance sheet?
J. Braxton Carter: Yes. So I think the best way to put at it -- to look at sub-Prime versus prime, and by the way, the sub-Prime is now significantly less than 50%. We went from 43% Prime at the end of last year, to 54%. That's moving the whole base. And as you can see, with Un-carrier 4, good continued trends there. What we do from a credit standpoint is we definitely run through all of our proprietary scoring, using a lot of alternative data sources. And the farther you go down the spectrum chain -- or the farther you go down the credit quality chain, the more you have to pay for the handset. We call it tailored out-of-pocket. So depending on where you score, even though we have a 0 down proposition, if you don't meet the required scoring, you're actually paying increasing amounts of that handset upfront as you go down the credit quality range. So I think that's really the right way to look at it. We don't really disclose any bad debt rates or any other metrics relating to granular credit scoring, nor do we think that would be appropriate. But I do want to emphasize that we've seen very significant decreases in bad debt. We've seen very significant decreases in churn, which speaks, I think, well to the Un-carrier strategy and how well it's working.
Michael McCormack - Jefferies LLC, Research Division: That's great. John, just a follow-up. What you guys are seeing in some of the dense urban markets, are there any data points you can share with respect to utilization of network? Anything that we should be concerned about in that, or is there still a lot of room to move?
John J. Legere: Neville, are you on?
Neville R. Ray: I am, John, yes, let me take that. So, apologies. I'm dialing in from the Congress in Barcelona. Hopefully, it's clear enough. But obviously, load across the network is far from uniform. But we are in a good place. We are doing very, very well, from a competitive performance perspective, across all market areas. Our speeds are second to none as Braxton and John have both outlined on the call. And our strength is extremely strong in the urban areas based on the density of our network and our spectrum position in mid-band. So we're actually doing well there. The growth in performance that we see over the next 12 months, you've heard about us adding and expanding the breadth of our LTE network. We are also adding material density to our LTE network across the 200 million POPs that we have today. So that's adding performance capability for capacity as well as speed needs. The other pot of gold at the end of the MetroPCS spectrum is the AWS spectrum that we're able to bring across and add to the TMUS network, and we continue to do that, make great strides in '13. We'll continue to add spectrum in AWS LTE in '14. So we're in a good position and we're in a great position to support the customer growth that's coming at us.
Operator: Next, we'll go to Phil Cusick with JPMorgan.
Philip Cusick - JP Morgan Chase & Co, Research Division: But can you talk about needs for additional capital, either to support the faster growth and working capital and CapEx, or for spectrum? We've got an auction coming this year and maybe next year. And with EBITDA increasing, is there room to do that with debt instead of with equity next time?
J. Braxton Carter: Yes, Phil. I think we've said in the past, and we continue to say, that we're prepared to invest what is necessary in our business for the growth and the quality of our network. And when we did our equity raise, we were pretty clear that, that was a one-time occasion. We don't really have any interest whatsoever in any further dilution and would be oriented towards debt raises to fund any opportunistic spectrum acquisitions in the future. I mean, certainly, you have the broadcast spectrum auctions coming up in mid-'15. We're anxiously awaiting the rule setting there and we're certainly going to be a participant in those auctions. The good news is we have substantial current liquidity, even pro forma, for the Verizon A-Block transaction. But certainly, it's going to be interesting to see how the rules develop on A-Block and we're definitely going to be focused there.
John J. Legere: And Phil, I would say, pretty clearly, we have a good, balanced CapEx portfolio. I think we're comfortable with the pace that we're growing, and looking carefully each year as to where we're headed. Now, with the success that T-Mobile's had and the impact on the industry and the size of the gap between the #1 and 2 and 3 and 4 players, it isn't that hard to figure out that with significant capital, what a player like us could do to close that gap or almost somewhat of an unlimited capital. And it also isn't hard to understand why we have a position that we've espoused consistently that, over time, this industry is ripe for the impact of further consolidation, which is one of the ways to have significant capital exploited to try to close that gap. But our own growth right now and our capital profile, we feel is balanced and allows us to do the things that we've outlined.
Philip Cusick - JP Morgan Chase & Co, Research Division: I'm a little shocked we got this far on the call without talking about M&A, but since you bring it up. The consensus seems to be that it's a deal you can't do, why is that incorrect?
John J. Legere: Again, if it sounded like I was entering into an M&A discussion, I wasn't. All I would say is just the economics of investing for significant scale and growth begs the question of an industry that requires further consolidation to lower the concentration gap. But as far as any specific items or transactions, we're not going to comment on that at all.
Operator: And now, we'll go to Matthew Niknam with Goldman Sachs.
Matthew Niknam - Goldman Sachs Group Inc., Research Division: Just a couple of follow-ups on Un-carrier 4.0. Can you give us some more color on the uptake, and specifically around the size of the family you may be attracting, and where they may be coming from?
G. Michael Sievert: Yes, this is Mike. A couple of things. We've -- we were pretty successful at bringing in families before this launch. Certainly, we've seen an uptick with the launch of the latest Un-carrier in bringing in multiple lines at a time. They tend to come in, in 2s or better than 2s. They're much more Prime, as Braxton outlined earlier, than they were prior to the launch. We continue to receive the majority -- not the majority, but the highest nominal number from AT&T. That hasn't changed. We've said that previously as well. And the quality of these customers is just terrific. And so, there's a little extra marginal cost to bring them in. As Braxton said, around 20%, maybe a little more than 20%, of the customers coming in qualify. We expect the payment for each of them to be less than $200, perhaps significantly less over time. And because there's some lift, we're getting more efficiency out of our fixed cost per gross add base, and so there's an offsetting benefit from the efficiency improvement as well. Net of all that, there's a marginal extra cost per average customer to come in, which is more than offset by the marginal extra quality. As Braxton said, we're experiencing a pickup in our acquisition ARPU net of all effects, including the family effect. And that shows you the power of these higher-quality customers who attach data at a higher rate.
John J. Legere: And I just would add on, and we're not trying to be evasive, but it is early on in the program and we are not giving too much input yet as to how Un-carrier 4.0 is going outside the fact that we are pleased with it. We're also not trying to be too cute about where the customers are coming from. But we -- as we've all said, it is a highly competitive environment, so from a standpoint of historical discussions about hoarding [ph] ratios and the size of the flows, that's not something that we're going to get into anymore. As people are all getting highly competitive, we're going to not give up further roadmap as to where things come from. But we feel pretty good about the impact of the Un-carrier 4.0. It's done what we believe it would do, and we'll have a lot more to say to that as the next quarter unfolds and we see some of the early results.
Operator: And now, we'll take our last question from Walter Piecyk with BTIG.
Walter Piecyk - BTIG, LLC, Research Division: John, I think the inflow on the credit quality of -- that you've been seeing from Un-carrier 4.0 probably gives us some inclination of where those incremental subs are coming from, though, right?
John J. Legere: I'd say more, Walt.
Walter Piecyk - BTIG, LLC, Research Division: Okay. I just wanted to go back on this wide range of net add guidance of 1 million to 2 million. I think Mike's -- or I'm sorry, 2 million to 3 million, excuse me. I think Mike talked about churn remaining relatively flat, but if you look at that, your Prime is up to 54%, you're saying Un-carrier 4.0 is coming on at like 2/3 Prime, so these are higher-quality customers. Is the ability to take churn down further incremental to the upside of that range? Or is that within this wide range? And then if it's not within the range, what is it that's going to swing gross adds that significantly over the course of the year?
John J. Legere: Yes, and Walt, as usual, I spend my call following you on Twitter, I think all of your insights into our announcements are quite good. The credit quality is very high and that is indicative of a broad distribution of where these customers are coming from. Certainly, we see potential upside to our churn, which as you'd say, along with the significant change in gross adds, could drive some upside. And I think it's safe to say that if we were forced to look hard at it, we would suspect that in this range, we are operating to the high point as opposed to the low point. But we're very respectful of the competitive environment and we want to make sure that we give guidance that's consistent with what we see taking place and could take place. But if you're looking for the weak spot, it's not necessarily there. But we're being cautious and respectful as to what could take place throughout the year.
Walter Piecyk - BTIG, LLC, Research Division: Got it. And then on the -- the other thing that I thought was a little notable in the quarter was your sequential decline in network expense. I suspect that's just shutting down Metro networks. So when you look at the puts and takes of accelerating the Metro shutdown, but also increasing the LTE coverage that you have to 250 from 225, how should we look at that network expense moving over the course of the year and then into 2015?
J. Braxton Carter: Yes, Walt. Yes, I think that's very astute. We are doing very well with some of the integration relating to the Metro customers into the network. That's driving some efficiencies and was the primary cause of what you're referring to in the fourth quarter. I think when you look forward to 2015, you shouldn't expect that throughout the year, that there will be sequential decreases in the network. We're continuing the expansion of our 4G LTE footprint that occurred throughout this last year, so you'll have more run rate cost there. We talked about taking the total footprint up over 250 million. And we also talked about starting the deployment of our A-Block 700-megahertz spectrum which will certainly drive some incremental costs. All of this is fully embedded in our EBITDA guidance for the year. But I think that's the way I'd look at it.
Operator: I'd like to turn it back over to our speakers for any additional or closing comments.
John J. Legere: Okay. No closing comments. This concludes the fourth quarter call and the annual results. And we look forward to talking to you again soon. Thanks, everybody, for joining.
Operator: Okay. Ladies and gentlemen, again, this does include the T-Mobile U.S. Fourth Quarter and Full Year 2013 Conference Call. If you have any further questions, you may contact the Investor Relations department. Thank you for your participation. You may now disconnect. Have a pleasant day.